Alan Jackson: Good morning, everybody. And welcome to Playtech's 2018 Full Year Results Presentation. We're very pleased to have successfully delivered a number of really important achievements in the period, resulting in a much improved financial profile for the group. Progress in regulated markets has resulted in 80% of group revenue coming from regulated activity. Our core business remains strong with double-digit growth in regulated B2B Gaming revenue and we have a number of new licensees in strategically important regulated markets. Now despite headwinds in H1, Playtech reported a 54% increase in group revenue and a 7% increase in group adjusted EBITDA. This is in part due to the contribution from the acquisition of Snaitech, which has delivered a leading position in the largest regulated market in Europe. The progress on balance sheet efficiency and continued strength of cash flows has allowed the board to maintain the overall level of distributions to shareholders. Following shareholder engagement, we have balanced this between an initial share buyback of €40 million alongside a final dividend of €0.12 per share. And this demonstrates the board's confidence in the future of the business. The achievements made this year mean that management are extremely confident of further operational and strategic progress in 2019. So now I'll hand over to Andy for his financial review of 2018. Andy?
Andrew Smith: Thank you, Alan. Starting with Slide 5 and the financial highlights, 2018 saw a continued evolution in Playtech's financial profile with significant growth in regulated revenues, both organically and through M&A. In 2018 we reduced the B2B Gaming cost base by €17 million with further optimizations coming. Our balance sheet saw significant changes with the sale of our holdings in GVC and Plus500. We raised our first public bond, as well we publicly rated and repaid our fully drawn RCF and replaced it with a larger undrawn RCF. Finally, we continue to focus on creating value for our shareholders, supported by the strength of our cash generation. We have today announced a new shareholder distribution policy with the same level of total cash returned, but split between dividends and share buybacks, with a €40 million buyback program launched. Turning to Slide 6, on a reported basis revenue was up 54% with adjusted EBITDA of 7%. Net profit growth was higher than growth in EBITDA due to the gains on sales of the holdings in GVC and Plus500. On Slide 7 we're looking at the results excluding acquisitions and at constant currency. Group revenue decreased by 12% and adjusted EBITDA decreased by 20% due to the well-flagged headwinds in Asia. Turning now to look at Slide 8, Playtech's B2B Gaming margin dropped by 4 percentage points in 2018, having been impacted by the headwinds in Asia with the lost revenue dropping largely through to EBITDA. The B2C Gaming margin saw a material improvement, although there are a number of moving parts and once again we will look at this in greater detail shortly. We have included a new line item for the first time, the intercompany eliminations to allow us to show revenue numbers in both our B2B and B2C businesses, with an intercompany line removing the double counting of software revenues. Tradetech's margin was broadly flat year-on-year in euros, although it was impacted by currency translation and showed margin expansion in dollars. Ron will look at the performance of the business in his section. Turning to Slide 9, the next few slides we will explore the performance of the B2B Gaming business in more detail. In the U.K., the B2B Gaming business grew 2% in 2018 at constant currency, with 28% growth in other regulated B2B markets outside of the U.K., driven by markets such as Greece and Mexico. Looking at the regulated versus unregulated performance, the contrast is stark, with regulated revenues growing 12% at constant currency and unregulated revenues down 32%. There are two points specifically worth highlighting. Firstly, the change in respective regulated and unregulated revenues has a material impact on the quality of earnings of the business. Secondly, the main driver of the fall in unregulated revenue is a transition from unregulated to regulated markets. The quantum of our unregulated revenue is now less than half of our regulated revenue outside of the U.K. at €67 million. Of this, Germany is the largest component, which although not regulated, is taxed, and with a long tail of countries making up the remainder. Turning to Slide 10, we can see the performance of the various B2B Gaming line items and this is a slide which you're all familiar with. Looking at the penultimate column on the right, the issues in Asia had a material impact on the performance of casino and services, which fed through to total B2B Gaming being down 13% at constant currency. However, looking at the far right-hand column, which shows the performance of the regulated business, it is pleasing to see every line item in growth, with 12% growth overall. Looking now at the breakdown of B2B Gaming costs, I've been looking hard at the cost base of the group and where we can optimize productivity. Our actions in 2018 have allowed us to reduce cost by €20 million. At the same time, Playtech will reinvest savings where appropriate, such as an increase last year of €3 million to marketing to support our aspirations in North and South America, including significantly increasing our presence at G2E. We continue to look hard at every part of the cost base. And we have identified cost reductions and productivity improvements that will deliver further improvements over the next 12 to 18 months. Expensed R&D costs were flat in the year, having been down 13% in H1. As explained in August at the interims, H1 saw an increase in the percentage costs which were capitalized. We saw that normalized for the full year, as forecasted. On Slide 12, we look at the B2B Gaming margin in detail, which has been one of our key focus areas and has also received a lot of attention from analysts and investors. Looking at the first highlighted box in the table, we can see that total B2B Gaming margin has fallen in 2018, due to the lower contribution from higher margin in Asia, although it remains at a very healthy 45% and compares favorably to other B2B businesses with similar mix of regulated and unregulated revenues. We see Asia as a cash business, and so when analyzing inherent strengths of the B2B gaming business, we exclude the contribution from Asia, deducting only direct costs from the Asian revenue and not apportioning any central cost to Asia. This gives a contribution margin for Asia, rather than an EBITDA margin with all central costs apportioned to the non-Asia business. Looking at the second highlighted box, due to the cost actions taken in the year with around €17 million removed or €20 million excluding the increase in marketing, combined with an increase in revenues, the non-Asian B2B Gaming margin increased by 9 percentage points in the year to 25%. The focused approach to cost cuts and investments discussed on the previous slide, will continue in 2019 with further cuts and optimization slightly more than offset by investments in target areas to drive revenue growth. The full benefits of this approach will be seen in 2020 and beyond, with the non-Asia B2B Gaming margin expanding to over 30% in the medium term, driven by revenue growth and operational gearing. A margin over 30% in the non-Asia business would represent an almost doubling of the margin from 2017 levels. Turning to Slide 13, as at the half year, the B2C segment is a mixture of Snaitech, Sun Bingo and casual and other. We will look at Snaitech and Sun Bingo in detail shortly. Casual and other B2C saw adjusted EBITDA fall from a loss of €2.6 million in 2017 to a loss of €12 million for the full year, due to startup costs in HPYBET, our B2C sports offering in Germany and Austria, and a loss in casual as revenue from the Narcos game slowed and investment went into new titles. Turning now to Slide 14, we will look at the performance of Snaitech, which was consolidated from the 5th of June with the far right column showing the contribution to Playtech's results in the year and which saw a very strong performance. Total Snaitech revenues increased by 1% to €895 million. Revenue was positively impacted by the increasing wagers from online betting on online games and the positive impacts of the World Cup. There was also a positive impact on revenues from lower VLT payout, which was offset by the increase of PREU tax rate on AWPs and VLTs as well as the decrease of wagers from gaming machines. In line with Snaitech's stated strategy, growth in adjusted EBITDA was significantly ahead of growth in revenues, driven by the growth in online and the final portion of the synergies arising from the merger with the Cogemat Group. The synergies between Playtech and SNAI are now at a run rate of €4 million and we are on track to deliver the full synergies announced at the time of the deal. We remain confident of the €180 million EBITDA target set for a target for SNAI announced at the Investor Day in November, albeit the taxation headwinds will mean that this target takes a little longer to achieve. Turning now to Slide 15, we will look at Sun Bingo. Sun Bingo revenue increased 43% in 2018, driven by the continued focus on targeted and data-driven marketing. We are also pleased to announce that an amendment to the contracts has been agreed, which has extended the duration of the contract for a period of up to 15 years. The amended agreement will include additional forward verticals. The minimum guarantee cash payments are to remain until mid-2021 under the terms of the original contracts, although they will now be spread over the life of the extended contract from a P&L perspective which means that from 2019 onwards the Sun Bingo contract will no longer be loss-making from the P&L perspective. Turning now to Slide 16, net cash from operations was up 26% at EUR 387 million. In addition to this, 2018 saw combined inflows of EUR 481 million from the investments in GVC and Plus500, being proceeds of EUR 254 million from GVC and EUR 193 million from Plus500. Together with an additional EUR 34 million in dividends from the 2 stakes in 2018 prior to divesting. As previously announced, at the end of 2018 we reached a settlement with the government of Israel for EUR 28 million, which was paid in January 2019. Turning now to Slide 17, we have repeated and refreshed the additional disclosure on the cash which is available to Playtech. Although the starting point when looking at the cash on the balance sheet is the gross cash, as we have stated previously this isn't a relevant number as it includes cash held on behalf of customers and progressive jackpots, money which does not belong to us and is not ours to spend. Since the half year, there's been a significant movement in adjusted gross cash and available cash, as we used cash to reduce the quantum of the refinancing. The relevant starting point therefore is what we disclose as adjusted gross cash. This now stands at EUR 313 million, which can be found in the third row of the table. As well as our focus on costs, we have looked hard at ways to reduce our working capital and operational cash. We have reduced cash needed for operations by EUR 10 million since the half year, which has left EUR 105 million of cash available at the end of December, which was reduced to EUR 77 million in January following payment of the Israeli tax settlement. We will continue to look for ways to reduce working capital throughout 2019. Turning now to Slide 18, as discussed earlier, significant progress was made in the period on the continued improvement in the efficiency of the Playtech balance sheet. As at the period end, net debt to EBITDA was within Playtech's target range at 1.5x. The refinancing of the EUR 297 million convertible bond maturing in November this year is underway and an update will be provided in due course. Turning now to Slide 19, Playtech has today announced that future shareholder distributions will be balanced between dividends and share buybacks, a decision taken following analysis of its shareholder register and feedback from shareholders. It is important to stress that this is not the intention to reduce overall cash returns to shareholders, with today's decision being made taking into account the optimum way to create value for shareholders. Playtech currently returns around €110 million a year to shareholders by way of dividends, split around 1/3 for the interim dividend and 2/3 for the final dividend. The 2018 final dividend has been declared as €0.12 per share, returning €35 million with a €40 million share buyback also launched. Going forwards, Playtech will maintain its progressive dividend policy from the rebase level, whilst having a progressive approach to shareholder distributions. Turning now to Slide 20, the group is facing multiple headwinds in 2019 and this slide bridges from the 2018 adjusted EBITDA to the 2019 guidance. Working from left to right, adjusted EBITDA was €343 million which included 7 months of SNAI's results from June onwards. From January to May 2018, SNAI reported €62 million of adjusted EBITDA and then this needs to be added back to the €343 million. The run rate in Asia of €150 million a year is €33 million less than reported in 2018, with the increased taxation in Italy adding a €30 million headwind pre-mitigation with the EBITDA generated in the UK being hit by €10 million due to the increase in RGD and the estimated impact of the reduced stake in levels for FOBTs. Taking all of this together, the starting point for calculating the underlying 2019 EBITDA growth is €332 million. Playtech has today provided 2019 adjusted EBITDA guidance of €350 million to €375 million excluding the impact of IFRS 16 and Sun Bingo, which we will look at on the next slides. The underlying guidance range implies 5% to 13% growth in adjusted EBITDA on an underlying basis or 9% to 21% excluding Asia. Turning now to Slide 21, there are two other factors which increase our 2019 adjusted EBITDA guidance, as I just mentioned. Firstly as I'm sure many of you are already aware, the application of IFRS 16 is mandatory from the 1st of January 2019 and effectively capitalizes certain lease obligations rather than taking them as operating costs. The impact of IFRS 16 on Playtech is expected to increase adjusted 2019 EBITDA by around €20 million a year and this is reflected on the chart in the red box. The impact of IFRS 16 on net profit is immaterial with the increase in EBITDA being offset by higher depreciation and interest costs. If we turn to Slide 22, we can see the second factor to increase the 2019 guidance being the previously mentioned amendments to the Sun Bingo contract which add a further €20 million to adjusted EBITDA. Taking these together adds €40 million to our adjusted EBITDA guidance for 2019, taking the range to €390 million to €415 million. Finally from me on Slide 23, we can look at some of the assumptions underpinning Playtech's 2019 adjusted EBITDA guidance. We are expecting strong growth in B2B regulated Gaming growth. There expects to be a decline in B2B unregulated Gaming revenue with the assumption that Asia remains stable. That's approximately €150 million annual revenue run rate. Snaitech's adjusted EBITDA will return to 2017 levels due to the taxation headwinds. As I just mentioned, Sun Bingo is expected to have a positive EBITDA in 2019. And TradeTech is expected to continue to grow adjusted EBITDA. And with that, I'll hand over to Ron.
Ron Hoffman: Thank you, Andy and good morning, everyone. I am very pleased to present to you the financial results of TradeTech group, which reflect the continued improvement and progress we have made in the business in 2018. As can be seen from the slide, TradeTech has delivered growth across revenues, adjusted EBITDA and increased EBITDA margin when compared to 2017 actual result and on a pro forma basis after adding the comparable results of the Alpha business prior to its acquisition in October 2017. These headline figures are a result of a combination of areas of growth in the business. In other areas where we have seen some declines, which I'll provide more details in the following slides as we further drill down into the numbers. In December 2018, we experienced a one-off event resulting in a $2.2 million loss. During an onboarding process of a new B2B customer to our liquidity offering, there was an administrative fault unrelated to the quality of our B2B offering. While we don't see this as an adjustable item in our P&L, we do not feel it is reflective of our business model or practices and so we adjusted here to demonstrate the underlying profile of the business in 2018. When looking at the clean EBITDA performance excluding this event, we see a strong 28% increase compared to 2017 actual results and 19% on a pro forma basis. Let's drill down further in the net revenue headline figure. First, when looking at the B2C revenue line item we see a strong 12% increase when compared to 2017, reflecting growth in a period where we have had the first implementation of the newly introduced ESMA restrictions in August '18. While these new restrictions have had an impact on volume from our retail customer base since their implementation, it's still too early to evaluate the long-term performance impact. We'll get back to this point further on in the presentation as we get to the B2C business KPI slide. As can be seen from the table, we have enjoyed strong momentum in the B2B side of the business. The only anomaly to this growth is in this full turnkey business, where we experienced decline in revenue to $12.2 million in 2018, affected by both commercial changes implemented in the period with certain customers on the back of a long-term commitment with TradeTech, combined with some activity declines as customers shift their attention to building presence in new markets outside of the EU. Looking into the future, it is important to indicate that we have a significant pipeline for the turnkey tech offering and we are currently in advanced stages with a number of potential customers. The strong pipeline and interest in our turnkey offering reflects the superiority of our front-end and back-end technology compared to what's available in the market. We believe this is one of the group's strongest growth potentials in 2019 and beyond and we are highly excited about the future for this part of our offering. Our liquidity offering has enjoyed significant growth of 20%, as we saw an increase in both the number and size of customers using our best-in-class tier 1 liquidity pools as we gain more traction in the market. The quality of our liquidity offering has significantly increased in 2018, as we deliver more diverse liquidity pools with additional tier 1 providers in the mix enabling us to tailor different pools to specific characteristics of flow to cater to the needs of our strong customer base and liquidity providers. We enjoy a strong pipeline already in the start of the year and are expecting the growth momentum to continue into 2019 and beyond. We have also enjoyed strong growth in our execution and risk management part of the business with over 100% growth compared to actual results in 2017 and 14% on a pro forma basis after taking into account the TradeTech Alpha performance pre-acquisition in 2017. These strong results are mainly attributed to continued growth in volume and onboarding new B2B customers as they enjoy the quality of our risk management capabilities. The growth was negatively impacted by lower performance in market-making revenue per volume when compared to 2017 and specifically impacted in Q4 '18 as we've experienced a more marginal market performance in key B2B assets such as euro-dollar and other liquid pairs. The pipeline for 2019 is very strong with a variety of significant customers being on-boarded which will provide the foundation for future growth in 2019 and beyond. Moving on to the analysis of volume and net revenue per million, as can be seen from the table above, TradeTech group has serviced over $2 trillion in volume in the various areas of business during 2018, an increase of 61% over 2017 and 17% on a pro forma basis. The B2C business has seen a modest decline in volume on the back of the introduction of ESMA's leverage restrictions in August '18, which negatively impacted volume and revenue growth experienced up until that point. We continue to see growth on both our newly owned Australian B2C license and South African license as we further penetrate to markets outside of the EU. You can also see from the slide a 35% decline in volume on our full turnkey offering, as our EU customers commence to divert their attention outside of the EU and looking to establish their brand in other markets. All other B2B volumes from liquidity, execution and risk management activities have increased by over 100% compared to 2017 and 29% on a pro forma basis, as the trade account and CFH businesses continued to deliver both organic growth and new business. When looking at the net revenue per million table, this mainly reflects the market-making effect impacting our revenue generation per each of the line items. The B2C business naturally enjoys higher dollar per million, given we capture the full spread offered to our B2C customers whereby on B2B activity some of those economics are captured by the B2B brokers. The improved dollar per million on B2C compared to 2017 was mainly driven by the 2017 crypto loss at the end of the year and also strong volatility in the first half of 2018 on the major FX pairs and other liquid asset classes. Q4 '18 specifically was a challenging quarter, as revenue due to volatility in indices, commodities and specific FX pairs was offset by an 8% rally in gold and euro-dollar's tight trading range throughout the quarter. It was somewhat of an unusual quarter, as the atypical appreciation in gold outweighed the rest of the diversity within the B2B book. This is very much in line with what has been experienced by other brokers in this space. Moving on to presenting the key B2C KPIs for the year, the first 3 KPIs we already discussed in previous slides. So let's focus on the other items. As we indicated at the interims, in 2018 before the implementation of the new ESMA rules, we decided to take a prudent approach in acquiring new customers with more moderate marketing spend under the view that there may be, potentially be economic changes in the core financial metrics which may evolve in changes to both customer lifetime value and accordingly cost per acquisition across the sector. This resulted in slower growth in the number of new customers in the period, which is naturally also reflected in the overall number of new customers for the whole of 2018. In parallel to that, as we further continue to invest in our product and improve our service to customers and overall offering as presented in our Capital Markets Day back in May 2018, we are enjoying a significant growth in activity from existing customers of 60%, showing both increased interactions and training activity of our customer base. In addition while it's still too early to properly evaluate the long-term impact of ESMA's new rules, given the continued revenue generation we've had post ESMA's implementation, we did commence to pick up on our marketing spend in Q4 '18 and are currently at a run rate reflecting more than the level achieved back in 2017 in terms of new customers. It is also important to indicate as we continue to grow outside of the EU, we now have approximately 18% of active customers coming from our non-EU licenses and not subject to the ESMA leverage restrictions. And we expect this number to continue to grow as we continue expand to other jurisdictions. Given we are at a point in time where it's still too early to evaluate the long-term impact of the ESMA new rules, we thought it would be beneficial to show you our analysis of the evolution of the lifetime value of a customer. As can be seen from the graph, there is a significant long tail of revenue generation even when we look at beyond the first 12 months, with 26% being generated after 12 months and beyond of which 6% from months 36 onwards, showing good customer longevity. As I indicated earlier in the presentation, we see a major opportunity in our B2B technology offering. We have a unique position in the market on the back of our superior technology. Our product and technology are unparalleled in the market and TradeTech is a force for innovation and improvement in the industry compared to the current practices of some brokers. Our B2B technology stack continues to be a strategic focus for TradeTech, as we strive to become the Playtech of our industry. We have branded our market-facing B2B technology as TradeTech360, being a next-generation product suite which provide brokers with access to the most sophisticated and robust systems in the industry. TradeTech360 enables brokers to effectively operate a complex multi-brand, multi-license, multi-channel and multi-risk model business across the globe; having access to the most powerful management system and its data-driven BI tools which is our equivalent to the Playtech IMS in the gaming space. We have a strong pipeline of brokers looking to improve their business operationally by migrating to our systems and infrastructure and we believe this will become a significant growth factor to our B2B proposition as a group. Before I finish, I would like to shortly present our view on where we are positioned in the market from a B2B perspective. Our liquidity business continues to grow strongly and is at its inflection point in the industry, as brokers appreciate the quality of our offering and optimized pricing which drives more business to us, even without us pushing for it. CFH's technology and offering has gained prestige and considered to be the best in the market. In addition, we continue to expand our liquidity offering to a full suite of products, including equities, cryptos and options which will establish the foundation for future growth in addition to further stickiness in our offering. Our TTA unique knowledge, expertise and technology provides for the best risk management capabilities in the space, which translates to having the best monetization capabilities, delivering additional growth and revenue synergies within the business and drives further business to us. And last but not least, as presented on the previous slide, we have a huge opportunity to grow and expand our B2B footprint with our best-in-class TradeTech360 technology. All these factors put us in a unique position in the market to deliver on our strategy to become the provider of choice to brokers in our space and replicate the successful B2B position Playtech has achieved over the years. With that, I will now hand over to Mor for his operational strategic review.
Moran Weizer: Thank you, Ron. Good morning, everyone and thank you for coming. Firstly, I will very quickly take you through some of the highlights in 2018. But I would like to focus how the work done in 2017 and '18 have transformed our business and delivered the next phase of our strategy and how the work in those years create the foundation for our future growth in the coming years. In 2018 we delivered significant progress which has delivered a different Playtech for 2019 and onwards. We focused on delivering the foundations for future growth in key product verticals, penetrated more markets, signed and/or launched more key customers in key markets, saw stabilization of our Asian business and acquired SNAI that is going from strength to strength, ahead of our expectations and set to show significant growth going forward. All those not only further diversified Playtech's revenue streams and cement our position in key regulated markets, but the combination of organic growth in our regulated B2B activity and the contribution from SNAI means that the full year run rate for regulated group revenue is over 80%. We continued to deliver solid organic growth in our core B2B business with regulated B2B Gaming revenue increasing by 11%. Casino, excluding Asia, grew by 8% and the momentum in sports continued in the year with a 12% increase in sports revenue driven by the continued maturing of key relationships and the addition of new licenses. We also delivered a renegotiation of the Sun Bingo agreement to extend our collaboration with News UK for up to an additional 15 years. The new deal reflects both parties' response to the changing market dynamics and mutually beneficial path towards profitability. It's a 2 win-win solution that will allow us to focus on growing the business and grow its profitability in the coming years. Turning now to look at regulatory developments in 2018, it is clear that regulation is the key force shaping our industry, delivering new licensees for Playtech and building long-term sustainable markets for us and the industry. In 2018 alone we extended and prepared our penetration into more than 10 newly regulated markets alone, including countries like Sweden, Poland, Portugal, Colombia and Switzerland, amongst others and believe this will continue. We are genuinely the most global regulated business. Playtech's distribution capabilities, scale, use of data and industry-leading innovative products continue to make us the leading partner for operators looking to access newly regulated markets. And in more established markets, Playtech is able to help operators manage short-term headwinds and meet the stricter regulatory frameworks. The much talked about U.S. opportunity continues to capture headlines and Playtech submitted its application for a New Jersey license in Q4 2018. Alongside the application, we have had ongoing discussions with new and existing partners and as a result have started the process in additional commercially attractive states. Since the interims, we have delivered stability in Asia and taken a number of significant steps to cement our position in the region. To add up our efforts, we appointed a new Asia Managing Director who will report directly to me and together with [Indiscernible] we conducted a full review of our Asian operations and identified a number of initiatives. For the first time, we will be launching our Live casino offering into certain parts of the market that Playtech had no foothold in. This will be as part of an increase in the content offering across casino, including the launch of 2 new brands. These brands will diversify Playtech's offering in the market, allowing us to compete at more price points than before while still retaining Playtech's position as a premium content supplier. Asia is unique. The recent competitive dynamics are not applicable to the rest of the world. Asia remains a significant source of cash for Playtech, allowing us to fund the penetration of newly regulated markets and cement our leadership in core established jurisdictions. In 2018 SNAI has delivered impressive growth and is already performing ahead of expectations. And this is in advance of our cross-sell initiatives which will start to accelerate existing growth rates in 2019 and onwards. Despite the headlines on regulation coming out of Italy, Snaitech has delivered very strong growth in its digital business, significant increase of new customers acquired and strong brand recognition; cementing SNAI's position as the largest and leading sports brand and improving their position from third to second-largest online betting and gaming operator, creating real momentum for 2019. We continue to strongly believe that given the size of the Italian betting and gaming market, as well as its characteristics: such as the low conversion from retail to online, the low penetration of digital, the access to very significant retail distribution channels and SNAI's limited market share in online; Italy remains one of the most if not the most attractive markets across Europe and will show significant growth in the coming years. Excluding Asia, we have seen significant momentum in our core gambling business in both the B2B and B2C segments. The KPIs on this slide are commonly used by operators and software providers alike and are what we use to evaluate the real quality of our business. These very strong set of KPIs clearly demonstrate the real strength of the business and the momentum generated in 2018 in the key metrics which are driving top line growth and which we use to measure the success of our business. They not only reflect the quality of Playtech and its ability to grow significantly across the different business verticals, but also act as the foundation for additional growth. This was the quickly part. Moving on to the most important part of the presentation, I would like to share with you the strategic work we have been doing since we presented the interim results in August. The last time I stood here and presented to you, we're reporting on the changing market conditions in Asia. Although we had been preparing for such changes in the market with our strategic shift from unregulated to regulated revenue and mitigated the loss with higher quality revenue from Snaitech; this was a painful process and a painful event for Playtech and its shareholders. In response, we gathered the best minds in our organization to thoroughly analyze Playtech and its position in the industry. The aim was to challenge everything from current business models, commercial relationships, cost base to pricing models and refine our strategy accordingly. The industry continues to change and move on and Playtech has to adapt and change accordingly. We will now present the conclusions and steps taken to deliver the next stage in the evolution of Playtech within the industry. Playtech's early years were focused on driving scale and gaining market share in its B2B business. Playtech concentrated on extending its technology across product verticals and across retail and online channels, achieving the scale that would deliver us the leadership that we enjoy today. We are currently in the second phases. The industry continues to transition from unregulated to regulated formats. As many newly regulated markets are growing from a low level, we are currently in a transitional period, as the gambling industry is moving to its lower-margin lower-growth phase in some established markets, given the increases in taxes and regulatory constraints in more developed markets. When analyzing the industry, it is clear that a lot of focus, at time too much focus, is given to the UK. In the early days, the UK was by far the most developed market and offered the best opportunities. However, the industry is transitioning into a more global market. We have been in the forefront, penetrating a large number of European markets and extending our reach to Latin America and the much hoped U.S. market. Whilst the market has focused on valuing regulated revenue, it has also featured a bias towards the UK Playtech has always focused the diversification of its regulated revenue, reducing the exposure and concentration to a single country and regulatory framework. Our strategy was to strive to deliver a principle revenue position in at least 3 regulated markets. This has been our strategic focus in these years of transition, while others in the market have focused on too few markets. For us, those include our UK core B2B business, where we support the largest and best operators; Italy where we acquired SNAI; and Mexico, where we collaborate with Caliente under a structured agreement that represents a combination of our B2B software model and B2C services capabilities. Our partnership with Caliente provides a strategic advantage in Latin America as we can potentially continue to extend the collaboration throughout the region, as regulation continues apace. These 3 principle positions form the foundations of our core gaming business and provide long-term sustainable revenue for the group. In addition, Playtech is active in more than 30 regulated jurisdictions across the globe, which continue to drive our diversification. Alongside the structural growth of our 3 principle markets, our diversity and global reach lead us to the third phase and drive Playtech's growth in 2020 and beyond. Turning to the next slide, following the extensive review process, this is how we think about our business. The market should approach Playtech as a 4-part business, including Asia, TradeTech and our core gaming B2B and B2C activity. In our core B2B business, we are the largest and leading supplier in regulated markets and the partner of choice for retail and online operators, brands and government monopolies in more than 30 fast-growing regulated markets globally, with a long-established cornerstone presence in the U.K., where we have an exclusive model with the largest and leading operators. Our core B2C business is a natural evolution of the Playtech services model, allowing us to leverage our technology across the B2B and B2C value chain and has brought the opportunity for Playtech to add diversification to its model either through white labels activity, joint ventures or direct investment in a brand through B2B2C models, such as Snaitech and the regulated HPYBET brand we now operate in Austria and Germany. Asia is attractive as a cash business, but it is hard for our shareholders to understand and value. As outlined, Asia is different and unique, yet remains commercially attractive and highly cash generative, funding growth of the rest of the business. Although some refer to it as non-core, TradeTech remains a strong contributor to group EBITDA, as it continues to grow its scale in a young and rapidly developing industry. TradeTech has a unique model of B2B and B2C, much like the core gambling business. It is a unique and highly attractive asset and it will deliver excellent opportunities to realize shareholder value in the medium and longer terms as it achieves scale. Moving now to look in more detail at our findings from the review of the business, the first of our findings was the confirmation of the quality of our assets. Playtech's successful drive for scale has brought us to a position where we have more than 140 licenses globally in more regulated markets than any other supplier. This scale has allowed Playtech to develop leadership in the gambling industry. Playtech has a track record of product innovation, the biggest jackpots, the largest poker network, the largest bingo network, the largest portfolio of branded games and some of the most popular casino games. Our scale also delivers an advantage in the development of our data-driven services available across the Playtech IMS platform. Playtech has an unparalleled set of assets from its omni-channel technology stack to its capabilities in compliance and regulation, as well as 140 important relationships that are driven by a very, very comprehensive fully integrated and fully compliant solution. However, through our analysis, it became clear that during our focus on scale, we subsidized our customers' development in regulated markets, as they enjoyed our investment in products and services and accordingly our B2B margin excluding unregulated activity was lower. We also realized we need to optimize and better align the costs to revenues. We therefore are at a very important point in Playtech's growth where we need to take the next step in our strategy to secure our growth in 2020 and beyond. We will do this by continuing to focus on cost optimization to drive margin improvement, continue to leverage our current capabilities by launching in new markets and most importantly focus on higher margin opportunities with new and existing licensees and partners. Our second key finding was that our business and pricing models limited our addressable market. There are over 1,000 sites globally today that do not even take a single Playtech game and/or offer the Playtech Live Casino. Those include some small and mid-sized operator brands, but also some of the largest operators across our industry. Playtech has invested significant R&D in recent years to further develop its leading technology in order to provide products and services that are more flexible in their application for customers. Playtech will continue to be the partner of choice for the local heroes, where we intend to focus on higher margin structured agreements and long-term comprehensive partnerships, but an adaptable and more flexible technology model will be essential for tapping this uncharted market and driving higher margin growth opportunities. In the core B2B Gaming business, we have refined our strategy that now includes new business and pricing models driven by the unbundling of the different elements of our offering that are now offered and priced optimally. We will continue to execute on our strategy to drive innovation of products in order to deliver higher margin regulated opportunities with sports, casino, and live casino being of greatest importance. As we have achieved significant scale, these opportunities will drive growth and margin improvement across the B2B business. We will focus on 4 main areas. Firstly, the organic growth of existing licensees, through additional innovative tools and products, additional commercial and compliance focused data-driven services and new flexible technology for existing customers, we will continue to share in the growth of our licensees. Secondly, increase cross sell to existing licensees. There still exists a significant opportunity to cross sell our products and services to existing customers. Thirdly, we will continue our local heroes strategy with a focus on higher margin, larger scale agreements, particularly structured agreements in key regulated and potentially significant markets in Europe and Latin America, as well as the U.S. Finally, we will focus on a currently unchartered and untapped part of the market for Playtech. As the industry continues to develop, we have recognized the need to evolve our offering so that we can deploy content and services solutions, more flexibly and more quickly. This attracts a new type of licensees at higher margin. For example, initiatives like our GPAS and POP, as well as our games link integration and significant investment in our APIs, allow a different business model where licensees can integrate with Playtech to take content and services as well as products in a matter of weeks rather than month. This strategy will require targeted investment Andy referred to, which will drive above market growth and deliver our 30% margin target. While some companies have hard choices to make as they continue to lose firepower due to the increasing taxation and stricter regulation, we strongly believe that our introduction of new additional business models focused on an enlarged number of regulated and soon to be regulated markets and separately our ability to attract higher margin opportunities, will allow us to improve our margin and lead to significant growth in our core B2B business. The diversity of Playtech and its exposure to multiple streams of regulated fast-growing revenue that means when looking at the industry consensus for 2019 EBITDA, Playtech is one of only very few of its peer group that is focused to grow its EBITDA in 2019. In the B2C Gaming business, we will continue to focus on selected few opportunities with a strong focus on SNAI in Italy as one of our 3 principle markets, delivering sustainable growing long-term profits for the group. In sports, we have employed a similar model with HPYBET in Austria and Germany, where we are already one of the 5-largest retail and online B2B2C operators, albeit from a much lower base, and we will look to build scale in the business using the same model to leverage a strong brand across a retail network to drive online growth. In terms of M&A, we will continue remain opportunistic and as the gambling industry continues to experience rapid change, we will always look to capitalize on our position and any opportunities that arise. However, we will be conservative and take a responsible approach with a focus on executing on the organic growth and the opportunities available. Before I finish, what I would like you to take away today is that we delivered the vast majority of what we said throughout the year, with the U.S. application underway. We have created the foundations for long-term growth by signing new key customers in more than 10 regulated markets. Andy continues with his optimization process. Our world-beating tech team continues to develop new technologies and more flexible content for our customers. We will be introducing new business and pricing models as appropriate, keeping the existing models to allow us to focus on higher margin opportunities in regulated markets and tapping the untapped. I therefore strongly believe that all the work done will lead to significant growth in profits and improved margin in our core gambling business in the coming years. With that, I will now take any questions you may have. Thank you very much.
Q - Unidentified Analyst: I have three questions. I'll ask them one at a time, please. The first is on strategy. Mor, could you talk a little bit more about this unbundling and new business model and how that reflects both maybe exclusivity and non-exclusivity or structured agreements? A bit more color there would be very useful for how we think about growth of the business going forward.
Moran Weizer: Yes, so definitely. It's not about exclusive or non-exclusive. The world has moved on. The industry has moved on. If you look at the market, it is broken down into different local markets. In each and every one of those markets, most of the operators with only very, very few exceptions, those are local markets that are very, very much focused on the local activity in the local respective markets. It's not about the model of exclusivity or providing a non-exclusive model. Like I said, the world moved on. It's about breaking down the IMS into a set of services that will allow us to integrate quickly. It's about the ability to have a by far more flexible business model. We do not intend to try and convince Unibet or Betsson [indiscernible] or PokerStars or Bwin. Party or Adjarabet or others that already operate in the online gaming space for many years; to take our IMS as their player account. It's the ability to start working with those. At times and in many cases on an exclusive basis deal, but take our content, our product, our services using only the relevant parts of the IMS. In the early years, as we built our scale, and I think that this is important, this is why I want to dwell on that, it's a very, very significant differentiating approach. In the early years, we subsidized our customers. It meant that we actually charged like the rest of our competitors, but we had costs that the other did not have, which was the IMS and the player account and the infrastructure and back end. Now what we can provide, now what we can do which is very different, is choose whether we want to integrate, like I said, at times on an exclusive basis with new customers, quickly integrating our content and products and provide services using only the relevant parts that they want and price it optimally. Beyond that, obviously we will be focused on higher margin. Obviously this comes with higher margin opportunity, because suddenly you are at a level playing field with your competitors. Even if you charge the same, you don't have the costs that we usually have. Like I said, beyond that, we will be very much focused on higher margin opportunities. You said it rightfully and rightfully so. Structured agreements are a real opportunity for us. It allows us to extend beyond software. It allows us to extend to the different other parts of the value chain. Obviously the commercials are better. They extend beyond the percentage fee we charge for the software and accordingly they are higher margin. And by definition, not only they are higher margin. They are in all cases so far, and we don't expect this to change, will remain exclusive. And this is why we believe that breaking now down the IMS to a set of services, pricing it optimally, working and continually supporting our existing customers, working with new types of customers that for us mean higher margin and focus on the local heroes comprehensive contracts with government monopolies, leading sports brands in different regulated markets means that we will be able to accelerate the growth of Playtech in our B2B core Gaming division and will allow us to show by far more growth than any other competitor of Playtech. There are certain, this model even extends beyond that, just one reference I think I mentioned it during ICE when we met. One of the things we referred to I was asked about Live Casino, for example. To date, the ability to integrate quickly without the need to have the player, the IMS as the player account, the ability to extend beyond the existing relationships means that we will be able to tap a market that so far is dominated by one of our largest competitors. Just to put it into perspective, today Playtech holds roughly -- it's very hard to estimate it, because some of the operators are private. But we estimate that our market share is around 10%. And our largest competitor holds 85% market share. That means that there is a very big market that so far was an untapped market for us or a market that we did not tap, and we definitely intend to focus on that as one amongst the other opportunities that we have.
Unidentified Company Representative: Did you get all that?
Moran Weizer: It's on the conference call. You will be able to review it later.
Unidentified Analyst: As detailed as ever, but it's very useful. Thank you, Mor. The second one was on growth. You mentioned just then actually more the 27% growth in Live and regulated markets, 23% growth in slots in regulated markets. But you've said that regulated casino revenue was up 13%, which suggests that table games was backwards. So is there a one-off that explains that or is there a sort of structural competitive issue there as table games sort of gets sort of hollowed out by Live Casino?
Moran Weizer: Yes, actually again you're spot on. What happens in the industry is that obviously the casino offering where have advantage because our Live Casino offering is part of our casino offering. Others that offer live casino, including our largest competitor, don't have a casino. But they offer live casino on an exclusive basis. I believe that the future offering going forward will be a combination of casino and live casino, albeit some may choose to offer live casino alongside that outside of the casino offering. And what we see is a very, very clear trend. We see our slots growing double digit, actually more than 20%. We showed that earlier in the presentation. This is one of the most important KPIs we look at. The other most important KPI is obviously the growth in Live. I said that you are spot on. It is true. Graphical engine based table games are going backwards. It's an industry trend. But it's more than overcompensated by the growth in Live. And if you factor into that the fact that so far we put certain constraints and limited our ability in the addressable market, if you think about Playtech in 2019, 2020 and onwards, and think about the quality of the slots, the growth of the slots, the growth of the existing customers in Live Casino and you put it all together and consider that is the offering of Playtech; we should expect the trend to continue, but show very significant growth rates in Live Casino that will overcompensate -- by far overcompensate for the fact that some of the graphical engines are becoming less attractive. Let's be honest. Customers playing from home basically have the ability to basically experience almost the real thing versus a graphical engine. Given the quality of streaming today, most will choose the Live Casino offering rather than graphical engine-based table games.
Unidentified Analyst: My third question, as you might have guessed, is on costs. Andy, it's useful you sort of running through how you think about the margins in those businesses. Could you give us an idea of how much of the difference in margin between regulated and unregulated markets is due to regulation or tax, which in my mind should sort of be one-offs that you can sort of outgrow, and how much it's around the business model and the kind of products you're delivering? And given more comments there around unbundling, is there potentially more upside to that sort of 30% figure or do you really think that is the margin we should be thinking about in terms of the run rate?
Andrew Smith: Let's do the 30% margin first, because that's the easier one. No, I'm not saying that it stops there by any means, because actually there should be a high degree of operational leverage within the business. So actually the drop-through from a new customer should be high once you right-size the cost base. So the reason we gave the 30% is because in the medium term, it's a highly achievable target. It's a strong target, but no. It's by no means the limit. I mean I think you are entirely right with the reasons you pointed out for the reason that the regulated markets tend to be high margin.
Unidentified Analyst: If I could just sort of follow a bit, if I imagine 2 different businesses at the same size sort of Playtech, regulated and unregulated, just assume they've got the same P&L. What are the, can you help us to understand what the breakdown of the different margin might be? Is it half of it because of business model, half of it because of costs? Any color you could give will be very useful in that [indiscernible].
Andrew Smith: It's nothing we've ever given. But I would have to take that away, actually. Because it's nothing we've ever given before.
James Goodman: James Goodman from Barclays. Perhaps I could start just with a question on Asia and the stabilized rate of revenue there. I think you've gone from nearly €300 million to €150 million and about €40 million I think was Malaysia, if I remember correctly. You haven't mentioned that this morning. But what's the update there and is there an opportunity for that to come back?
Andrew Smith: I'll do the actual numbers. So you're entirely right. Malaysia fell from around €40 million to around the €10 million, bounced around and it remains at that level.
Moran Weizer: Yes, on Malaysia specifically, we haven't seen any real change in the market. However, if it will change, it will all be upside, we believe. And it will come back on an improved regulatory basis. We haven't seen that. We still anticipate that. It may take some time and anyway we treat as Andy suggested, and actually said it throughout the presentation. And the way we think about Asia is a cash business. So as long as, if there is an upside for Malaysia, great. If there is no upside, then obviously we stabilize the business and hope for some growth in the future. But it's more about maintaining the current level, generating the cash. We still believe that it's attractive, it's commercially attractive. And the cash we generate can be used to fund the rest of the business. And all the work we do in regulated markets, you probably saw earlier our growth is almost unparalleled in regulated markets. We talk about more than 25% in regulated markets, ex the UK and even when you factor in the UK, which is coming under pressure, you still get to a double-digit number. And this is actually what people should focus on.
James Goodman: And then on Sun Bingo, encouraging to see that that's been renegotiated. I think some people expected perhaps that you'd have some renegotiation of the nearer term cash implications of the contract. So any thoughts around that and when's the first break clause in this contract? And how profitable should we think about it being on that sort of time frame?
Moran Weizer: Yes, we believe that it's a win-win solution. We believe that it aligns the interests. We believe that pushing to reduce the minimum guarantees was not the right thing, given the fact that the business in its own right and merit is profitable, highly profitable. Guys, I think that we need to put it into context. Yes, the contract was not a very attractive contract. But the extension of the contract by up to 15 years more aligns the interest and actually puts the two teams together to focus on the joint path towards a more profitable and bigger business. This business grew by 40-plus percent. Not too many bingo operators can say that, albeit from a lower base. But we believe that it aligns the interest. We always enjoyed a very good relationship with Sun. Yes, I think that they realized that it needs to change. We wanted it to change. We wanted an alignment of interest. We wanted short term to become longer term, everyone working towards the same goal. And I'm happy to say that we achieved it last night. And I'm extremely happy that this is the case and I'm extremely excited about the opportunity, even though it comes with an investment in the way of -- given the minimum guaranteed amounts, if you think about an investment into a growing business in one of the most attractive jurisdictions across the space being the UK against all odds there, we grew the business by 40%. I think that it's exciting and we see this as a real opportunity for us.
Andrew Smith: And on the second part of your question, James, it's going to be making money for us as soon as the minimum guarantees fall away on a cash basis. As I said, on a P&L basis, it's now making money straight away.
James Goodman: Fine, okay, thank you. And then if I can just squeeze one follow-up in on contracts, I mean were you negotiating with GVC late last night as well, or where are we on that one?
Moran Weizer: And the night before, and the night before, before that. Yes, the latest update is that actually we wanted to deliver it this morning. And we are pushing hard. The relationship has never been better. I think that towards the end of the year and I think that it was articulated by Kenny at the time, sometime for that that we all aim at finding the common ground and a path forward that will allow us to work together in the many years to come and potentially beyond the first -- before the duration of the first or before the expiry of the date of the contract. Obviously we are 2 complementary businesses. They are one of the 3 largest operators across this space, one of the most global and I think that they achieved a lot during the last so many years. And there is a real significant opportunity for them. Playtech is software provider. We believe that we will remain a key software provider to the business and we all aim at finding the way. Actually, we already found a way of how we should work together, align the interests and push forward both businesses by supporting the growth of GVC group all together. Obviously it's now a matter of translating that into a contract. Obviously we did not announce it this morning, so I can't say that it's 100% certain, but it's heading in the right direction. The relationship has never been better. We are all aiming at the same and we talked about 6 things that we need to deliver in the short term. We delivered 4, GVC on the way, U.S. application on the way -- I mean U.S. license is on the way, given the fact that we applied in the fourth quarter of 2018. We are getting there. Hopefully we will be able to achieve and do exactly that.
Gavin Kelleher: Gavin Kelleher from Goodbody. Just three from me, please. Just on current trading, the regulated B2B Gaming up 7%. Can you just -- you mentioned that excluding one-offs, what exactly is that?
Andrew Smith: I thought someone might ask that, actually. So thank you, Gavin. Interesting, when you know when we say there's a one-off, people think you've stripped it out because it was a bad thing. It was actually a very good thing. We had a reasonably chunky hardware sale. And we have those throughout the year. But if it's in a 6-week period, it can skew the numbers massively, which in that case it did. So the number would have been significantly higher.
Gavin Kelleher: Perfect. Just on HPYBET, it appears that you're investing for future growth there, the 12 million loss in kind of other B2C gaming. How should we think about that going forward? Is that ongoing or when will that get to breakeven?
Andrew Smith: Let me take the numbers and then Mor can do the strategy side on it. The whole 12 million isn't the HPYBET loss. That 12 million is split between, there a few million for casual. There's 1 million or 2 million for other B2C and the remainder is HPYBET, the investment we made. Do you want to talk about strategy?
Moran Weizer: Yes, we definitely, as I indicated, we would like to build scale. We are already one of the 5-largest. Actually most people will say that we are now third-largest B2B2C franchisee based operator in Germany and Austria. It's fully regulated, retail and online. And we believe that there is a lot of value to be created. We hardly, I mean we do operate on an SSBT basis in both countries. But we see that there's an opportunity given the size of the market and the opportunity. We therefore started investing. We have, like I said, one of the 3 largest, actually, retail networks between the two countries. But at the same time, obviously like I said, we are going to optimize cost and revenue structures and we will have, we monitor closely the investment going into any part of our business, including HPYBET.
Gavin Kelleher: And just on Italy, just the €30 million of headwinds from taxes, in the past your competitors in Italy have talked about mitigation. That takes time. How should we think about that and when should mitigation of taxes come through?
Andrew Smith: I think when we made the initial announcements, just before Christmas, we indicated that the mitigation would be around, say, €5 million to €10 million. But that would also come with a cost, specifically a CapEx cost. So we specifically gave the headwinds, because ultimately it is a headwind and actually it's an operational performance, if you mitigate against it. But there's no reason to feel we won't be able to mitigate a reasonable amount of that through the course of this year.
Gavin Kelleher: So it starts in H2 and then more mitigation in '20?
Andrew Smith: Yes.
Gavin Kelleher: Perfect, and just on financials, obviously the last question from me; H2 profitability seemed very weak. How should we think about financials profitability? I know it's difficult to forecast, but in FY '19, how should we think about it?
Moran Weizer: Yes, I mean obviously when we talk about shorter periods of time, then market meaning can be volatile and it depends on the market conditions. We look at it on an annualized basis. I mean we don't get too excited when the market is too good or too bad. If you look at, I mean there was a slide in the presentation showing the revenue per million, the net revenue per million. And if you look at that, I mean obviously there are some differences from one year to another. One year it can be a little bit better, the other year it can be a little bit worse. But if you look really at the last even 4 years, you would see that it's pretty stable on a line-by-line basis. So the B2C will be pretty much $200 per million, plus to $220, $230, $250 in a very, very good year. That's pretty much where it will land. Other line items will be pretty stable. The differences will be really $2 or $3 per million less on the B2B side maybe, $2 or $3 per million better depending on really the period. But we look at it on an annual basis. I think any other way, I mean looking at a shorter period really depends on what happened in the market during that period. And if there wasn't anything dramatically happening, like cryptos for example last year, it would be pretty stable.
Gavin Kelleher: So do you think it can grow in the 30, assuming no kind of major issues?
Moran Weizer: Sorry, again?
Gavin Kelleher: The €30 million of profitability last year; should we be penciling growth in '19?
Moran Weizer: Absolutely.
David Holmes: Dave Holmes from Merrill Lynch. Question on Asia, I think previously you said you would not compete on price in that market. And I think today you've said you're going to launch some new brands in that market to compete across the price points. So what's caused that change and also do you see any risk that those new brands cannibalize your existing products in that market?
Moran Weizer: The answer is that we do not intend to change the pricing model of the premium offering of Playtech, as we indicated before. But we always look for initiatives to compete hard against the other competitors and the other content providers in the region. The 2 other brands are separated from Playtech. Our offer under different names, two content providers that we have access that we own actually. I won't say the names, because I think it's commercially sensitive. However, I will say that they will be offered separately and will become attractive to distributors. Think about a distributor that has a lot of operators below it. It works with Playtech. He has access to our premium product. If we come to them and say, improve the position of Playtech but at the same time we give you two other brands that have very, very good games and you just put it just below. Playtech will be up there, and just down below that push the others down, and you get two new brands at a similar level. This is quite an attractive package for these distributors. And this gives us the ability to compete against the others outside of the premium content, better but the same time, cement the premium position of Playtech. It's offered almost as a package to the distributors and provide them with a better position in the market with more content and different price points. They don't really care about whether they work with 20 others and the others. They have Playtech for many years. They enjoyed and generated a lot of profits out of this relationship. And therefore, like I said in the last set of results, in the interim results that actually the feedback from our distributors was that we should keep Playtech as a premium product. And so having a premium product, pushing the agenda but at the same time having 2 other content providers or 200 other content offering; instead of 2 others out there, is quite an attractive package for the distributors.
Andrew Smith: You had a question, Rich?
Richard Stuber: Richard Stuber from Numis. Just one question on M&A, just really where do you see the best opportunities? Is it more to the retailers of Germany and Austria? I think the U.S. is something which you'd like to bulk up; just any sort of color around opportunities.
Andrew Smith: Could I just jump in first? Just from my perspective, my priority in terms of use of capital at the moment is I want to be able to refinance the convertible, which is the priority before Mor answers on M&A.
Moran Weizer: Yes, I think that we indicated before and I indicated it earlier that M&A remains an integral and inherent part of our strategy. We will always remain opportunistic. Should an opportunity will present itself, we will capitalize on our position. However, I will say we are very, very focused on the growth and what we see in regulated markets, there are a lot. I said 10 regulated markets in 2018 alone, with some in 2020 and onwards. Take for example the Netherlands, various other markets in Latin America. We are very, very busy operationally. We are very busy extending our reach. Obviously it's not just in Europe. It's not just Europe and Latin America. It's the much hoped U.S. as well. We are extending our reach to the U.S. as well. So I would say we are very busy with that. We see a lot of organic growth. Now we defined our strategy. We have the right tools, the right technology, the right set of APIs and integration tools and then new business and pricing models that we believe will allow us to accelerate the growth. Do we feel that we are on under pressure to do any acquisition? Not really. Whether one will present itself, it will have to go through a very strict criteria process before we will choose to do that. And we will remain conservative and responsible in our approach.
Alan Jackson: Are there any more questions? Thank you all very much. I'm sure Mor, Andy or Ron will be very happy to answer, talk about any individual points that you've got. But thank you all very much for coming along.
Moran Weizer: Thank you.